Operator: Greetings and welcome to the Altra Industrial Motion Third Quarter 2016 Financial Results Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your introduce Mr. David Calusdian. Thank you. You may begin.
David Calusdian: Thank you, and good morning, everyone and welcome to the call. With me today are Chief Executive Officer, Carl Christenson; and Chief Financial Officer, Christian Storch. To help you follow management discussion on this call, they will be referencing slides that are posted to the altramotion.com Web site, under Events and Presentations in the Investor Relations section. Please turn to Slide 1. During the call, management will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently uncertain and investors must recognize that events could differ significantly from management's expectations. Please refer to the risks, uncertainties and other factors described in the company's quarterly reports on Form 10-Q and annual report on Form 10-K and then the Company's other filings with the U.S. Securities and Exchange Commission. Except as required by applicable law, Altra Industrial Motion Corp does not intent to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. On today's call, management will refer to non-GAAP diluted earnings per share, non-GAAP income from operations, non-GAAP net income, non-GAAP gross margin and non-GAAP free cash flow. These metrics exclude certain items discussed in our slide presentation and in our press release under the heading Discussion of non-GAAP Financial Measures and any other items that management believes should be excluded when reviewing continuing operations. The reconciliations of Altra's non-GAAP measures to the comparable GAAP measures are available on the financial tables of the Q3 2016 financial results press release on Altra's Web site. I'll now turn the call over to Altra's CEO, Carl Christenson.
Carl Christenson: Thank you, David, and good morning everyone. Please turn to Slide 2. My now I'm sure you seen it - you've all seen the announcement this morning regarding our intent to acquire the Stromag business from GKN. This deal brings complementary products and markets and geographies and we expect it to be accretive in the first 12 months of combined operations. I’ll provide more background on Stromag after we review the results for the quarter. Our third quarter performance was in line with our expectations. Economic conditions in many of our end markets continue to be challenging. Gross profit as a percentage of sales increased 80 basis points despite a 5% decrease in sales. Right now we still do not see any catalyst that will change the industrial economy. As these macro conditions persist, we are executing well on our programs to improve Altra's long-term operating performance including our consolidation, supply chain and operational excellence initiatives. During the quarter we completed another plant closure and expect an additional closure in the current fourth quarter. This brings us to a total of seven consolidated facilities by year end. We expect a small facility closure in the first quarter of 2017. We're also evaluating closing one or two additional facilities during the remainder of 2017. Our goal of developing a world-class supply chain management organization is also proceeding well. During the quarter we completed staffing for this effort. Through these programs we're controlling what we can control and are looking forward to achieving much greater operating leverage in our business model when our out of favor markets rebound. With that let's turn to Slide 3 and review our end markets. We'll begin with distribution which is predominantly made up of sales of aftermarket parts and original equipment parts for small OEMs. Distribution was down significantly and we continue to see relative weakness going forward. In turf and garden sales were down from last year. We are having a very good year but not quite at the level we experienced in 2015. We expect that 2017 will be similar to this year. From an agriculture sales, we are up from last year but continue to be weak and we're not seeing any catalyst that will change the demand environment significantly. Low commodity prices and relatively young fleet continue to result in soft Ag equipment purchases. In transportation, sales to the automotive industry were reasonably strong while rail and marine continue to be weak. Rail and marine have not declined any further from recent quarters but have not yet begun to rebound. Materials handling was up year-over-year driven by moderate increases in elevator sales in forklifts. Conveyors were flat at the strength - in the U.S. dollar and weak mining segment continue to hinder sales. With the acquisition of Stromag we will be adding to our sales into the cranes and hoist segment for this market. Turning to energy, energy overall was down from a year ago reflecting a significantly weaker Oil & Gas market from Q3 2015. While Oil & Gas shipments were down order rates were up which gives us hope that we have possibly hit the bottom. In addition, the reason OPEC decision and higher oil price are encouraging. Power generation is down year-over-year compared to a very strong year last year. We expect to see continued relative weakness in this part of the market. Renewables continue to be strong globally although we saw weakness in China this quarter, all indications are that the wind market in China will recover and will be strong in 2017. The metals market remains weak and we expect the overcapacity in China and global pricing will affect this market for the near-term. However, we believe that the U.S. terrace and Chinese steel that were approved in May will have a positive effect on the market next year. While shipments were down significantly from a year ago, we have seen an improvement in orders. Mining sales were down but like Oil & Gas order rates have improved so we’re hopeful sales into this market will stabilize. And now I’ll turn the call over to Christian to review the numbers before discussing a recent acquisition of Stromag. Christian?
Christian Storch: Thank you, Carl and good morning everyone. Please turn to Slide 4. As Carl mentioned at the outset we continue to perform well operationally in a very challenging economic environment. This performance drove an 80 basis points improvement in gross margin despite the 5% decrease in sales. We're executing well in all programs to improve long-term operating performance including the consolidations, supply chain and operational excellence initiatives. For the third quarter of 2016, GAAP diluted EPS was $0.20 per share versus $0.39 a year ago and non-GAAP diluted EPS was $0.35 a share compared to $0.43 a year ago. Restructuring and consolidation costs, as well as acquisition related cost of the main reconciling items. In addition to the lower sales volume, warranty related expenses of $800,000 or $0.02 per share contributed to the lower EPS. Looking at the top line, foreign-exchange rates had a negative impact of approximately 150 basis points driven by continued strength in the U.S. dollar. Volume declined 4.7% while our strategic pricing initiative added 80 basis points. Net off foreign exchange sales declined 3.9% year-over-year. Geographically excluding the effect of foreign exchange North American revenues declined 8% year-over-year, European revenues were up 7% and sales to Asia Pacific and other geographies were down 12%. During the quarter the average price of the company's common stock exceeded the current per share conversion price of all convertible notes. As a result, the notes were dilutive to earnings by less than one penny. We recorded a tax rate of 29.2% during the quarter which was up from 21.7% a year ago. The prior year was positively impacted by a one-time tax benefit related to foreign tax credit. Please turn to Slide 5 for a discussion of our segment performance. Please note that segment results are not adjusted for one-time items. For the third quarter of 2016 net sales in couplings, clutches and brakes were $77.4 million down 9.8% when compared with the prior year. This segment has Altra's highest exposure to Oil & Gas, metals and mining. Segment operating income was $6.6 million down from $8.9 million a year ago. Net sales in the electromagnetic clutches and brake segment were $50.7 million up and $50.4 million in the third quarter of 2015. This segment is benefiting from Altra's facility consolidation, procurement effort. As a result segment operating income increased 38% to $6.6 million or 13% of segment sales. Finally net sales in the gearing segment were $47 million compared with $48.8 million in the year ago quarter. Segment operating income decreased to $5.7 million from $6.2 million a year ago. Segment operating income is now 12.1% of sales compared to 12.7% a year ago. Please turn to Slide 6. Our balance sheet remains strong, book equity was $251 million and our cash balance was $39.8 million. We use our cash flow to pay down $28 million in debt since the beginning of the year. During the quarter we repurchased 5461 shares of Altra's stock as we favored debt pay down over share repurchases for a total of about $300,000 under our prior $50 million stock buyback. Since that program's inception, we have repurchased approximately $39.5 million or $1.4 million shares of Altra common stock. As announced this morning our Board of Directors approved a new share repurchase program authorizing the buyback of up to $30 million of our common stock to December 2019. This replaces the previous share repurchase program which has been terminated. Capital investments totaled $4.8 million for the quarter well below our depreciation and amortization for the quarter of 7.9 million. Please turn to Slide 7 and our guidance for 2016. We are narrowing our previous annual revenue and EPS guidance and expect full year 2016 sales in the range of $705 million to $715 million. We expect diluted EPS in the range of $1.25 to $2.30 and non-GAAP diluted EPS in the range of $1.45 to $1.50. We expect the tax rate for the full year to be approximately 29% to 31% and continue to expect capital expenditures in the range of $20 million to $24 million, depreciation and amortization in the range of $30 million to $32 million. With that, I will turn the discussion back to Carl.
Carl Christenson: Thank you, Christian. Please turn to Slide 8. As I described in some detail earlier, our business simplification plan remains on track. Please turn to Slide 9. As we noted in our news release this morning, we intend to acquire Stromag, a Germany-based maker of hydraulic clutches, electromagnetic clutches and brakes, limit switches and flexible couplings for €184 million in cash and we will assume €14 million of debt. Stromag is a leading brand-name in our industry and the company generated approximately €131 million of revenue in 2015. We plan to finance the deal with our recently announced expanded credit facility. The acquisition is anticipated to be accretive to Altra's earnings in 2017 excluding any one-time or acquisition -related costs. We're very excited about this acquisition which we believe provides us with a number of compelling sales and cost synergies. We expect to achieve €5 million to €7 million of synergies in three to four years. Finally we expect to close the transaction in the first quarter 2017 subject to customary antitrust approval. Now please turn to Slide 10. Stromag has a very strong brand and like Altra is a market-leading engineer of electromechanical power transmission and motion control components for a huge variety of industrial applications. Stromag is headquartered in Germany with manufacturing locations in Germany, France, the U.K., the U.S., China, Brazil and India. The company has a strong technology base and a sharp focus on providing tailored solutions for its customers with its primary product being clutches, brakes, couplings and limit switches. With these complementary products, we expect to be able to cross sell using our own sales force and in turn the Stromag's sales force will be selling some of Altra's product to their customer base. Stromag also brings with it a very experienced management team and highly skilled Associates. We are excited to welcome the companies 750 employee to Altra. Now please turn to Slide 11. Stromag provides us extremely complementary products and will expand our presence in the crane & hoist and marine markets. Stromag also enables us to penetrate the agricultural equipment, construction, renewable energy and metal processing markets. Stromag has very little exposure to the Oil & Gas and mining markets. Stromag will expand our geographic presence. Stromag currently generates about 75% of its revenues in Europe where they are headquartered in Germany and have operations in Germany and France. The remaining 25% of revenue comes primarily from the U.S., India, China and Brazil. We're particularly excited about the potential to leverage the India facility as a launching pad to increase Altra sales presence in that market. We're also seeing excellent opportunity to leverage cost synergies to the application of our operational excellence and procurement programs. Now please turn to Slide 12. We plan to finance the acquisition with our expanded credit facility. Amend credit facility will have an expanded multicurrency feature which will enable us to finance a substantial portion on the transaction in Euros. Furthermore we expect the leverage ratio to be just under 3.5 times. In summary we expect Stromag to be an accretive acquisition that will provide Altra with complementary products, greater presence in key geographies and penetration into new growth end markets. Thank you for your continued support of Altra and we’ll now open the call to your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line Jeff Hammond with KeyBanc Capital Markets. Please state your question.
Jeff Hammond: Hi, good morning guys. Congrats on this big deal. Just can you give us a better sense of what their EBITDA margin run rate is and then how to think about with the new financing what the interest cost implied in the deal and then just talk about whether this was an auction or privately negotiated?
Carl Christenson: Well I’ll start with last part of it and then Christian can fill in on the numbers but this was a privately negotiated transaction. This is a great company for us. It’s very similar to what we do today. We've known the company for a long, long time and this was fortunately - we were able to do this on a private basis.
Christian Storch: And Jeff you know the slides that you see on our Web site, on page 16 in the appendix we included a reconciliation of last 12-month EBITDA for adjusted EBITDA calculation and we include an estimate for the Stromag business. Stromag is a [compound] [ph] and therefore there are no audited financial statements available. So this estimate is based on our due-diligence results and we estimate that the last 12-months EBITDA was around $22.6 million which would then translate to roughly a 15% to 16% EBITDA.
Jeff Hammond: Okay. And then debt cost on the financing?
Christian Storch: The new facility will only take effect should the closing conditions be met. If the closing conditions are not met the old or current facility will remain in place. We certainly assume that this transaction will close and up on closing the pricing grid is unchanged but since our leverage is going up, our spread will be 200 basis points and for the euro portion of the financing, the euro LIBOR is zero so it’s 200 basis points and to any U.S. dollar portion it’s LIBOR plus 200 basis points.
Jeff Hammond: Okay.
Carl Christenson: The majority of it we're going to do in Euros as the business is there, so it’s great, we’re going to have euro debt, euro income so we're excited about it.
Jeff Hammond: Okay. And then just moving to the base, can you just put a little more context around the term stronger orders in Oil & Gas and then just how sustainable you feel kind of the mining and Oil & Gas positive order are?
Christian Storch: You put me on a spot there Jeff. So in mining and in Oil & Gas we’ve seen an uptick in orders, it’s been primarily replacement parts but we’ve also seen the rig counts come up. I think the rig counts now are 520 land-based in the U.S. and so we’re seeing the rig counts come up. OPEC seems to be getting Iraq together a little bit so it feels like we may have hit the bottom in oil. And then I’d say the same thing in mining, the incoming order rate has ticked up a little bit and we've actually seen some project work in some of the mines, some of the global mines. So I am not optimistic that things are going to come rip roaring back but certainly stabilize.
Jeff Hammond: Okay. Thanks, guys.
Operator: Our next question comes from the line of Matt Duncan with Stephens Inc. Please state your question.
Unidentified Analyst: Hi, good morning, guys. This is Will on behalf of Matt. Couple more on the quarter for me to start with. Can you talk about trends from July through the end of quarter how October is performing so far?
Carl Christenson: So, I guess if you look at the U.S. Christian mentioned that sales were down quarter-over-quarter and I think that was reflected in the order book and the particularly in the distribution business, our incoming order rate from July through recently has been fairly weak. But as I - and in some of the key end markets Oil & Gas and mining we've seen a little bit of an improvement in order trends, so it depends on which end market you are in. And so the steel business, the orders have got little bit better, Oil & Gas have got little bit better, mining got little bit better where distribution has gotten weaker. We've also seen an improvement as Christian mentioned in Europe. Europe got little bit better and we are starting to see some project work there too, which is encouraging. Asia is weak. The incoming order trend there has probably been declining. And one area that we noticed significant decline was in the wind business in China, however we think that short term, the feedback we get from customers is that that things will improve in that market. So it's a mixed bag.
Christian Storch: If I can add distribution is a big piece of our business and when we look at monthly order rate is extremely choppy and we have month which is up and then you get a month which is down and it does indicated clear trend on where things are heading.
Unidentified Analyst: On the distribution piece what are you seeing, what is changed over the last few months or I guess for 2016, it's really driving the significant year-over-year decline, is there anything called out or is it general softness we've been seeing across?
Carl Christenson: I think it's - so there are some end markets that are probably weak for some distributors because the major multi-branch distributors, the orders are not down as much as for some of the smaller niche players. So some of the smaller niche players have positioned with small OEMs and so it seems like it's isolated to the smaller niche distributors, it's that big distributors are down which is not as much as the smaller distributors.
Christian Storch: So we don’t believe its inventory is flat, so we believe its incoming order rates at the distributors are down. And don't think we can point to a particular industry, I think this is more broad-based industrial weakness that's reflected in the distribution order rates..
Carl Christenson: Yes, that's true
Unidentified Analyst: Okay, great. And then moving over to the acquisition, can you talk a little bit more I know you mentioned the cross selling opportunity in their product offering, can you go back and discuss where they are stronger and where they are the strongest and how that's going to compliment you?
Carl Christenson: Yes, so there is some nice products for us is limit switches which are used in cranes and hoists and there are custom-designed switches for the particular application, cranes and hoists and then wind turbines and some markets where we already are. And if you look at the presence that they have in North America and some of the rest of the world compared to Europe, we think we can expand sales of some of their products into other geographies where we're stronger. And likewise they have great presence at some really good customers in Europe you can take some of our products there. Another product we are excited about is that elastomeric couplings, we called torsionally soft coupling, it's used in engine drives, and it's product that we haven't had, that we wanted to get into our product offering. It's complementary at some customers, where we are that we don't have that position. So we think that's a great addition for us. So lots of small base here but there is no big homerun as we say this is going to be the be-all to end-all but there's lots of really good base hits in this combination.
Unidentified Analyst: Awesome. Congratulations, guys.
Operator: Our next question comes from the line of Scott Graham with BMO Capital Markets. Please state your question.
Scott Graham: Hi, good morning. Congratulations on the acquisition. The acquisition is embedded in the GKN financial, so you can kind of can’t see the historical but entire division was down a heck of a lot the last couple years because of the exposure to mining Ag and heavier construction. It does seem that Stromag is little bit better end markets. But I guess, I am wondering about how you come up with this $23 million of EBITDA, which would imply a far better margin than the rest of GKN. Christian I was just hoping you could help us out with that, are there adjustments in that number? Is that business much higher margin than the rest of the fleet within that GKN segment?
Christian Storch: So, Scott, this was a business that’s kind of within our space which has I think better margin than some of the pieces that were in the GKN land systems and they bought this business back in 2011 with a strategy to expand more into these type components. And I don't want to speak for them, but I think they've rethought that strategy. But this was really the first acquisition made in a little bit higher margin product range to combine into that space. And I think since then I think even publicly they’ve stated that they’re going to focus more on automotive and aerospace. And, so this was a – what I perceive as a little jewel sitting inside that business that really didn't fit with them. So I think it was good for both companies where it's where it’s a good great home for the company to come with us and I think it helps GKN focus more on the market that they want to focus on.
Carl Christenson: And I would like to add that the rest of the GKN business is – there’s big piece Ag piece in the land systems and so these are large customers, high-volume types of products as opposed to Stromag’s portfolio which is closer to our portfolio in terms of engineered solutions for individual customers with lower, medium volume maybe with the exception of some of the renewable energy pieces that they have. So that tends to have a higher margin profile. As is to the performance, power due diligence results show that the business in 2016 is performing at the top line about flat compared to 2015, which we look at as a very positive given the challenging end markets. You need to compare to Altra were down 9% – 5% to 9%. I think they’ve done a very nice job in mitigating some of this industrial weakness. And as the big benefit that they don't have the Oil and Gas and mining exposures as Carl mentioned in his dialogue that we have.
Scott Graham: Yes. That makes perfect sense. Particularly the part that you said about that they are focusing. Both the business stands on our higher margin business several years ago. Obviously I was not aware of that but that’s great information. Thank you, both. On the synergies, last question, the midpoint close to 6 million looks like about 4% on the revenue line, which is a good number but this is very highly synergistic product line similar end markets, and in Europe, where our cost structures are a little bit higher than here in the US. So, and you are saying 6 million over three to four years is there perhaps some conservatism back to that number, is it – are you concerned about the Works Council results anything?
Christian Storch: So let me – on the synergies, in the early phase of the acquisition, we will be able to move production in Brazil, in China and in the in the US from GKN facilities into our facilities. We estimate that that alone could account for $1.5 to $2 million in synergies. And those I think synergies that are real. We can touch and feel them. We’re going to get there fairly quickly. The sales synergies as Carl always says, take longer and…
Carl Christenson: And so we don't probably take – we probably don't publish it as much as we have internally on the sale synergies because our experiences they use to take twice as long as the teams think they will and you get them, it just takes little longer. So I don't like to go out and promise big sales synergies right over the box.
Scott Graham: So your $5 million to $7 million is vast majority is cost?
Christian Storch: Certainly in the early years it's the majority is cost.
Scott Graham: Right. Okay. Thank you both.
Operator: Our next question comes from Mike Halloran with Robert W. Baird. Please state your question.
Mike Halloran: Hi guys. So any change on the pricing side of things?
Carl Christenson: No. It’s still a struggle out there to get – not to get any prices but with the strategic pricing initiative we are still working the analytics and getting it where we can. I think the number is fairly similar Christian to where it was in the last couple of quarters but is primarily strategic pricing.
Mike Halloran: Make sense. And then at a high level here we've had a challenging backdrop for a couple years now, and I know you guys were hoping things might show signs of improvement as you work through the year here. I am assuming the last couple of quarters you’ve been pretty clear, it hasn't materialized. So some thoughts as we get into 2017 about what could be a catalyst out there and what you're looking at to see if things could start changing. I know you already mentioned rig count moving little higher maybe some bottoming on the Ag and on the oil and gas side but maybe just one other high-level discussion on what the changing year could be?
Carl Christenson: Yes. We don't have high expectations for next year. We think that the – that the growth is going to be fairly modest. We’re going to continue to work our improvement initiatives internally. But with that said, I think when we look at market by market and get with several sources that we use to what’s going on, it does appear that – that’s probably a little bit more ups and down on average. So it maybe a little bit better environment, but not markedly better. I think some of the catalysts are going to have to be a little bit of a turnaround in Asia, and have some expansion there. And then, certainly North American end markets which were surprisingly this year weaker than we had thought they would be. So we need to see a little bit of an improvement here.
Mike Halloran: Thanks, guys. Appreciate it.
Operator: Our next question comes from John Franzreb with Sidoti. Please state your question.
John Franzreb: Yes. Could you just address the end markets at Stromag and why you found such Marxist crane & hoist highway so appealing and maybe so difficult for you to break-in that you wanted to actually and acquire into marketplace?
Carl Christenson: So I think the crane & hoist business is a growth market. We have very little presence there and we have some great products that can be sold into there. So we think it's a place that we can expand now that we have some references. I think you know John that in this business without references and existing customer applications it's really difficult to break into simple markets. So primarily that and then we have a good presence in agricultural equipment here in North America and some construction equipment applications, but in Europe we didn’t. So we think that our expertise here can help us bear with some introductions and references.
John Franzreb: Okay. And could you just talk about the opportunity in India, it seems like Carl you’re pretty excited about that also in your opening statements?
Carl Christenson: You know, it’s a small business they have there. However, we think that that's a developing market that's important for us to participate in and we do in some isolated applications and some markets. We have some license agreements and we have some joint ventures that we work on there and we have some direct sales there. One market in particular is the wind business where we have some customers asking us to do more and were asking us to get local and to make some of the product locally. By having a facility there gives us the instant ability to start to produce wind turbine breaks there for some customers. And then we think we can expand that into some other businesses that where we think our technology can be used and we can gain some position. So it’s not big and it’s not going to be huge but I am excited that we finally have a way to do it. We’ve been trying for five or six years to figure out how to get there and now we have a way.
John Franzreb: Okay, great. My other questions are answered. Thank you.
Operator: Our last question comes from Bhupender Bohra with Jefferies. Please state your question.
Bhupender Bohra: Hi, good morning guys. This is Bhupender here from Jefferies. So on the Stromag acquisition here, if I see some GKN public the release when the acquired this business in 2011, the business used to be like 140 million in sales and EBITDA margins at that point in time they mentioned was about 17% for the business okay. And I mean sales - the numbers which you have said - so they haven’t been able to grow this business over the last since 2011 like, you know, the sales are like 6% down since they acquired. What is exciting about this business and Christian mentioned about like 75% of the business is in the Europe and this is mostly I think you guys talked about kind of low to medium volume Engineered Solution business. So if you can give us a sense of whether the customers for this particular business are like more capital intensive or how much or would that be more towards like aftermarket solution?
Carl Christenson: Well I think if you look at 2011 till today the whole general industrial economy from globally has been extremely challenged and I think if you look at - we peaked out at 820 million we’re down 100 million in sales from where we were and we had a higher exposure to Oil & Gas and mining. So yes, it hasn’t grown from 2011 to down a little bit but I think when you look at the environment they participated in it’s been difficult. And we think going forward there is some significant opportunities. We also think that it wasn’t a core business for GKN and the strategy that they had laid out when they bought it didn’t materialize and so they were not able to acquire other companies to go with it, they were not able to penetrate the U.S. market like they thought they could. So there were some things that they were not able to execute on. We think that we and do - that there are some places where we can take these products and where they can help us there. So I wouldn’t look at the past and say that’s what the future looks like.
Bhupender Bohra: I know, I just wanted to get a sense of like how you think about the business in the future because it looks like you legacy business you’ve been talking about Ag is still weak, some of the mostly the end market kind of remain fairly weak here and challenging. From that angle it seems like acquiring something and if I take your EBITDA I think you paid maybe about like between 10 to 11 times for this business?
Carl Christenson: No, our math is 9.5.
Bhupender Bohra: Okay got it. So is that including the synergies or that’s excluding synergies?
Carl Christenson: That excludes the synergies.
Bhupender Bohra: Okay, got it, got it. So just wanted to get a sense from the aftermarket perspective, how much of this business is more towards OEM versus an aftermarket opportunity here.
Carl Christenson: So it’s a 25% aftermarket business and has a good profitable aftermarket sales, it was about 25%. So maybe to give you one example. In the U.S. we’re very strong on the Ag side. We’ve got excellent products, excellent customer relations with the top guys in that industry. Stromag has an Ag business in Europe. We got no Ag business in Europe today. We set linear actuators into the Ag market for instance and we’re hoping and that we in the future sell linear actuators into the European Ag market. And as these are things how see, how we can grow that business and then of course vice versa then we can help them here in North America where they have a fairly small presence maybe 15 million something like that in revenues. We can help them grow those.
Christian Storch: The way I look at it is it’s a great time to buy the business because the markets are down and so it may get worse in 2017, I don’t know Bhupender but I think that we’re not buying at the peak which when you look back two, three, four years ago there were some companies that made some acquisitions that didn’t turn out all that well because they bought at the peak. So I think we’re buying at a very good time. I think the exchange rate is good for us, the interest rate and our net interest rate the European piece is going to be 2%. It is really good time for us to buy this business. And the other thing, I can’t control and somebody is going to sell us the business. This is a great company, it fits great with us. It is the right acquisition for us and I can’t say hi guys, could you wait two years to sell it to us. They wanted to sell it, we had a willing seller. We wanted to buy it and it is a great fit, it’s going to turn out to be a great deal for us.
Bhupender Bohra: I think you’re correct, I mean this is the perfect time to buy at the lows here but just wanted to get a sense of how the progress is going to be over the next two years, the opportunity it provides you and if it makes sense to you. Thanks.
Carl Christenson: That’s how I feel about it and I can't - 2017 may turn out to be a crappy year but we’re going to love this company as part of our company.
Bhupender Bohra: Got it. Thank you both.
Operator: Our next question is a follow-up from John Franzreb with Sidoti. Please state your question.
John Franzreb: Yes, just thoughts about the revenue breakdown and how it’ll fit into your segment profiling?
Christian Storch: We haven’t - we don’t have a number for you yet but at this point we assume that we’ll break up into the CCB group as well as an ECB group but we don’t have a breakdown for you.
John Franzreb: Okay. No big bucket.
Christian Storch: The biggest bucket probably goes into CCB and then a smaller bucket goes into ECB, electric clutch brakes. That may also change as we further evaluate this and may change that breakdown by the time of closing.
John Franzreb: Okay, fair enough. Thank you.
Operator: That does conclude our Q&A session. So I will now turn it back to Mr. Christenson and the rest of the management for closing remarks.
Carl Christenson: Okay. Thank you operator, and thanks to everyone for joining us this morning. Bye, bye.
Operator: This concludes today's teleconference. Thank you for your participation. You may disconnect your lines at this time.